Operator: Good day, and thank you for standing by. Welcome to the Third Quarter 2024 Ducommun Earnings Conference Call At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Suman Mookerji, Vice President and Chief Financial Officer. Please go ahead.
Suman Mookerji: Thank you, and welcome to Ducommun's 2024 Third Quarter Conference Call. With me today is Steve Oswald, Chairman, President and Chief Executive Officer. I'm going to discuss certain limitations to any forward-looking statements regarding future events, projections or performance that we may make during the prepared remarks or the Q&A session that follows. Certain statements today that are not historical facts, including any statements as to future market conditions, results of operations and financial projections are forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are, therefore, prospective. These forward-looking statements are subject to risks, uncertainties and other factors, which could cause actual results to differ materially from the future results expressed or implied by such forward-looking statements. Although we believe that the expectations reflected in our forward-looking statements are reasonable, we can give no assurance that such expectations will prove to have been correct. In addition, estimates of future operating results are based on the Company's current business, which is subject to change. Particular risks facing Ducommun include, among others, the cyclicality of our end-use markets, the level of U.S. government defense spending, our customers may experience delays in the launch and certification of new products, timing of orders from our customers, legal and regulatory risks, the cost of expansion and acquisitions, competition, economic and geopolitical developments, including supply chain issues and rising or high interest rates, the ability to attract and retain key personnel and avoid labor disruptions, the ability to adequately protect and enforce intellectual property rights, pandemics, disasters, natural or otherwise and risk of cybersecurity attacks. Please refer to our annual report on Form 10-K, quarterly reports on Form 10-Q and other reports filed from time to time with the SEC as well as the press release issued today for a detailed discussion of the risks. Our forward-looking statements are subject to those risks. Statements made during this call are only as of the time made, and we do not intend to update any statements made in this presentation, except if and as required by regulatory authorities. The call also includes non-GAAP financial measures. Please refer to our filings with the SEC for a reconciliation of the GAAP to non-GAAP measures referenced on this call. We filed our Q3 2024 quarterly report on Form 10-Q with the SEC today. I would now like to turn the call over to Steve Oswald for a review of the operating results. Steve?
Steve Oswald: Okay. Thank you, Suman, and thanks, everyone, for joining us today for our third quarter conference call. Today, and as usual, I'll give an update of the current situation at the Company, after which Suman will review our financials in detail. Let me start off again on this quarterly call with Ducommun's Vision 2027 game plan for investors. The strategy and vision were developed coming out of the COVID pandemic over the summer and fall of 2022, unanimously approved by the Ducommun Board in November 2022 and then presented to investors the following month in New York, where we got excellent feedback. Since that time, Ducommuns management has been executing the Vision 2027 strategy by increasing the revenue percentage of engineered products and aftermarket content, consolidating its facility or rooftop footprint, continuing its targeted acquisition program, executing our offloading strategy with defense primes in high-growth segments of the defense budget, value-added pricing initiatives and by expanding content on key commercial aerospace platforms. All of us here as well as my fellow Board members continue to have a high level of conviction in the Vision 2027 strategy and financial goals and believe the many catalysts ahead present a unique value creation opportunity for shareholders. The Q3 2022 results are another great example of our strategy and initiatives working. Q3 was our second consecutive quarter of record revenue and gross margin and represents another very strong performance for DCO. Revenues exceeded $200 million for the first time ever, growing 2.6% over the prior year, and this quarter is our fifth consecutive quarter above $190 million in revenue. Strong year-over-year growth in our radar, electronic warfare and missile programs drove our military and space revenues to 6% growth over prior year. Defense business has now been over $100 million in revenue for the fourth time in the last five quarters. We remain optimistic about the growth ahead. I also want to point out that Northrop Grumman was our second largest customer for revenue this quarter, a first at DCO and up from Q3 last year by over 100% to over $17 million. This will moderate going forward, but it is a great sign as we move to build scale at other defense primes outside of RTX, our largest customer. In our commercial aerospace business, we continue to see excellent growth on the A220 program where we make the skins for the entire fuselage, along with strong growth in other Airbus platforms. A real bright spot as well was the A320 family, up 60% year-over-year. Things are moving. Business jet revenues powered on and was driven higher by the work we do at Gulfstream, Bombardier and others. The strength at Airbus and with business jets was partially offset by weakness from Boeing platforms, which were down over prior year by over 40%, driven by lower build rates earlier in the quarter and the impact of the strike in September. Overall, commercial aerospace grew 3% year-over-year, and we now have grown year-over-year revenue in our commercial aerospace business for 13 consecutive quarters, demonstrating the resilience of our business even in a challenging OEM environment with Spirit and Boeing. The other good news for DCO's commercial aerospace business is the fuselage skin project for the 737 MAX at Spirit, which I've been mentioning is being outsourced from their internal operation. We received first approval in September and shipped our first production set last month. 2025 revenue for the four skin should be over $3 million. The four skin section, which is less than 10% of the fuselage, adds $22,000 to our ship set for the MAX, and we continue to drive that number higher and higher for the program. I also want to add that we are picking up more content on the 787 for all models due to a share shift from a competitor in 2025. And we'll have more details to you on the next call. It is significant. Another record highlight in Q3 was gross margins of 26.2% for the quarter, up 350 basis points year-over-year from 22.7% and 20 basis points compared to the second quarter as we continue to realize benefits from our strategic value pricing initiatives, productivity improvements, favorable product mix, growing engineered product portfolio with aftermarket and initial restructuring savings. In addition, our Monrovia, California facility is now closed, and our Berryville, Arkansas facility is down to less than 10 people to maintain capability until the receiving plant in Guamas, Mexico is certified for the Tomahawk missile program. We're already seeing cost savings from these facility closures, and we see these savings be higher as the receiving plants ramp up production in 2025. Stay tuned. For adjusted operating income margins in Q3, the team delivered 10.5%, a record performance and well ahead of the 8.9% number in Q3 2023. This is a great result driven by the continued growth in our engineered product businesses, favorable product mix, impact of our strategic pricing initiatives and our restructuring savings during the quarter. Adjusted EBITDA was another great story in Q3, achieving $31.9 million and expanding to 15.8% for the first time. This is 90 basis points above prior year and 60 basis points over the second quarter. This continues the outstanding momentum we've seen each quarter this year as we work towards the 18% goal in our Vision 2027 plan. GAAP diluted EPS was $0.67 a share in Q3 2024 versus $0.22 a share for Q3 2023. And with the adjustments, diluted EPS was an impressive $0.99 a share compared to diluted EPS of $0.70 in the prior year quarter. The higher GAAP and adjusted diluted EPS during the quarter was driven by improved operating income as well as lower interest costs due to our hedging strategy put in place this year in January. The Company's consolidated backlog continues to be strong at $1.044 billion, decreasing $24 million sequentially, but increasing over $85 million year-over-year. Defense backlog increased $97 million compared to the prior year quarter and is at $592 million with new orders for toll missiles, Mesa airborne surveillance as well as other platforms. As discussed, we've experienced a pause in the order cycle for the toll missile case, but now it is coming back strong with better pricing and will be manufactured in a low-cost Guamas, Mexico facility, where previously it was produced in Monrovia, California. The commercial aerospace backlog decreased sequentially by $20 million, but was still up $8 million on a year-over-year basis. As for the 2024 revenue guidance with BA and the movement of three major programs out of Monrovia and Berryville, we are guiding to the lower end of single digits with an expected range of 3% to 4% for the full year. Three major programs being moved will all start up again in 2025. And the MAX build rates, though still weak in Q4, will start to recover as BA employees now return to work. We are well positioned for the BA recovery in 2025 and 2026 for both the MAX and the 787. Now let me provide some additional color on our markets, products and programs. Beginning with our military and space sector, we experienced revenues of $111 million compared to $105 million in Q3 2023. Growth was driven by radar and electronic warfare programs as well as F-15 and the Black Hawk. These were partially offset by weakness in Apache, which is in the middle of being transferred out of Monrovia and the JSF revenues. The third quarter's military and space revenue represented 55% of Ducommun's revenues in the period, down from 59% for the full year back in 2022 and 70% in 2021. We expected this trend and reflects commercial aerospace getting stronger for DCO, providing good balance. We also ended the third quarter with a backlog of $592 million, an increase of $97 million year-over-year, representing 57% of Ducommun's total backlog. Within our commercial aerospace operations, third quarter revenue continued to grow, increasing 3% year-over-year to $85 million, driven mainly by growth on the A220 and A320 platforms as well as with business jets offset by slowing rates on the 737 MAX. As mentioned earlier, we believe a much better story is ahead for BA and the MAX now that the strike is resolved and the return to the projected production rates in 2025. Also keep an eye on the 787 as we move higher on the rates for BA. The backlog within our commercial aerospace business was $431 million at the end of the third quarter, increasing $8 million compared to prior year, a solid number given the temporary weakness in the commercial aerospace markets. With that, I'll have Suman review our financial results in detail. Suman?
Suman Mookerji: Thank you, Steve. As a reminder, please see the Company's Q3 10-Q and Q3 earnings release for a further description of information mentioned on today's call. As Steve discussed, our third quarter results reflected another period of strong performance with growth in both our commercial aerospace and military end markets as well as continued improvement in our margins. In addition, we also made good progress on our facility consolidation efforts during the quarter, which has benefited us in 2024 and will drive more meaningful synergies in 2025 and beyond. With all this, we feel like 2024 is showing good momentum that will continue to drive our performance towards our Vision 2027 goals. Now turning to our third quarter results. Revenue for the third quarter of 2024 was $201.4 million versus $196.3 million for the third quarter of 2023. The year-over-year increase of 2.6% reflects growth in both commercial aerospace and military and space, highlighted by $6.6 million of growth across military and space platforms and $2.8 million of growth in our commercial aerospace platforms. We posted total gross profit of $52.7 million or 26.2% of revenue for the quarter versus $44.6 million or 22.7% of revenue in the prior period. We continue to provide adjusted gross margins as we have certain non-GAAP cost of sales items in the current and prior year period relating to inventory step-up amortization on our recent acquisitions, restructuring charges and the impact from the Guamas fire on our operations. On an adjusted basis, our gross margins were 26.5% in Q3 2024 versus 24.1% in Q3 2023. The improvement in gross margin was driven by our growing engineered product portfolio as well as favorable product mix in our manufacturing services businesses, strategic pricing initiatives, productivity improvements and restructuring savings. We continue to make progress working through a difficult operating environment with supply chain and labor. Through our proactive efforts, including strategic buys and our inventory investments, we have been able to avoid any significant impacts thus far on our business. During the third quarter of 2024, we reduced our inventory by $16 million from Q2, while still keeping our performance centers positioned to meet our 2024 delivery commitments and ready for a ramp-up in commercial aerospace build rates. We continue to look for opportunities to unwind our working capital investments to improve our cash flow. Ducommun reported operating income for the third quarter of $15.3 million or 7.6% of revenue compared to $8.6 million or 4.4% of revenue in the prior year period. Adjusted operating income was $21.1 million or 10.5% of revenue this quarter compared to $17.5 million or 8.9% of revenue in the comparable period last year. The Company reported net income for the third quarter of 2024 of $10.1 million or $0.67 per diluted share compared to net income of $3.2 million or $0.22 per diluted share a year ago. On an adjusted basis, the Company reported net income of $14.8 million or $0.99 per diluted share compared to adjusted net income of $10.3 million or $0.70 in Q3 2023. The higher net income and adjusted net income during the quarter was driven by the higher operating income and adjusted operating income. Additionally, our interest rate hedge helped to reduce our year-over-year interest expense. Now let me turn to our segment results. Our Structural Systems segment posted revenues of $86 million in the third quarter of 2024 versus $85.5 million last year. The year-over-year increase reflects $3.7 million of higher sales across our commercial aerospace applications, including the A320 and A220 in addition to business jets and other commercial aerospace. The $3.3 million of lower revenue within the military and space markets was driven by a decline in Apache revenue as we shut down production in our Monrovia facility, offset by growth we saw in Black Hawk. Structural Systems operating income for the quarter was $8.3 million or 9.6% of revenue compared to $6.7 million or 7.9% of revenue for the prior year quarter. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 14.7% in Q3 2024 versus 15.7% in Q3 2023. The slight decline was from higher costs due to the transition of production from Monrovia to Guames, partially offset by strategic pricing initiatives and operating leverage from higher revenues at other Performance centers within the segment. Our Electronic Systems segment posted revenue of $115.4 million in the third quarter of 2024 versus $110.7 million in the prior year period. The increase is attributable to higher revenues from radar and electronic warfare programs. This was offset by lower revenues from in-flight entertainment electronics, along with the reduction in our industrial business as we chose to selectively prune noncore business. Electronic Systems operating income for the third quarter was $18.9 million or 16.4% of revenue versus $12.7 million or 11.5% of revenue in the prior year period. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 16.8% in Q3 2024 versus 13.4% in Q3 2023. The year-over-year increase was primarily due to shifting mix with higher growth in revenues and profitability in our Engineered Products businesses, along with strategic value pricing initiatives as well as savings from the restructuring program. Restructuring savings were driven by the transition of product lines from our Berryville Performance Center to other facilities. Next, I would like to provide an update on our ongoing restructuring program. As a reminder and as discussed previously, we commenced a restructuring initiative back in 2022. These actions are being taken to better position the Company for stronger performance in the short and long term. This includes the shutdown of our facilities in Monrovia, California and Berryville, Arkansas and the transfer of that work to our low-cost operation in Guaymas, Mexico and to other existing performance centers in the United States. We continue to make progress on these transitions and are working diligently with our customers, Boeing and Raytheon to obtain the requisite approvals. During Q3 2024, we recorded $1.9 million in restructuring charges. We expect to incur an additional $2 million to $3 million in restructuring expenses as we complete the program. Upon the completion of our restructuring program, we expect to generate $11 million to $13 million in annual savings from our actions and are already beginning to see some realization of savings from these actions this year. We anticipate selling the land and building at both Monrovia and Berryville. Turning next to liquidity and capital resources. Year-to-date Q3 2024, we generated $15.8 million in cash flow from operating activities, which was an improvement compared to year-to-date Q3 2023 generation of $4.6 million. The improvement was due to higher net income of $24.7 million as well as improvements compared to prior year in inventories and accounts payable. As of the end of the third quarter, we had available liquidity of $218.3 million, comprising of the unutilized portion of our revolver and cash on hand. Our existing credit facility was put in place in July 2022 at an opportune time in the credit markets, allowing us to reduce our spread, increase the size of our revolver and allowing us the flexibility to execute on our acquisition strategy. Interest expense was $3.8 million compared to $5.4 million in Q3 of 2023. The year-over-year improvement in interest cost was due to the interest rate hedge going into effect. In November 2021, we put in place an interest rate hedge that went into effect for a seven-year period starting January 2024 and pegged the one-month term SOFR at 170 basis points for $150 million of our debt. The hedge resulted in interest savings of $1.4 million in Q3 2024 and will continue to drive significant interest cost savings in 2024 and beyond. To conclude the financial review for Q3 2024, I would like to say that the third quarter results continued our momentum this year and positions us well for the rest of 2024. I'll now turn it back over to Steve for his closing remarks. Steve?
Steve Oswald: Okay. Thanks, Suman. In closing, look, Q3, excellent quarter, a record in some cases of many highlights for the Company and our shareholders as we realize the gains we all expect from our Vision 2027 strategy, especially around margin expansion. It's working. We're not surprised, and the progress on gross and EBITDA margin expansion has especially been a highlight. We're also tracking well against the goals of 18% EBITDA margins and 25% or more of Engineered Products and aftermarket revenues for 2027. I could not be happier. Finally, with the BA strike now behind us, commercial bill rates heading higher, along with stronger defense activity, including FMS ahead. I feel great about the next few years for all of us. So thank you again for listening, and we'll turn it over for questions.
Operator: [Operator Instructions]. Our first question is going to come from the line of Mike Crawford with B. Riley Securities.
Mike Crawford: What is it that you're doing new for Northrop Grumman? And where else could you help them?
Steve Oswald: Yes. Well, look, we're -- again, highlight for me, highlight for the Company. We do a lot of the airborne surveillance, electronics. We do power packs. This whole Mesa program, which kind of comes every two years, which is a huge order for us is all Northrop, and we're sole source on that. So we'll continue to drive that business. So it's a lot of electronics. A lot of it's in our Huntsville operation in Arkansas, but we're doing other things as well. I'm actually two weeks from now, I'm going to be with their leadership out in Baltimore because we're looking for even bigger things ahead. So my point about bringing the whole thing up is that we've talked about this over the years about, okay, RTX is a huge customer for DCO, Steve, that's great. Where else going to be going for bigger scale of defense primes. And I think we're finally starting to crack the code at Northrop, and we love them as far as their partnership, and we do a lot of good things, I think, value-added for them.
Mike Crawford: Okay. Great. And then on the 787, you've been, I believe, delivering about $90,000 worth of content per aircraft. And where is that heading to now with the share shift that you've won?
Steve Oswald: Yes. I'm going to have -- I want to wait until the next call. I will tell you that the increase is going to be double digit. I don't want to go too far right now, but this is a major win for us. This is coming from a competitor. I'll have more detail in February, then I'll give you the actual shipset number. I don't want to get too ahead of ourselves right now, but everything is kind of done, done, but we just need to give a little more time and then we'll be ready.
Mike Crawford: Okay. One last for me. Just from these acquired Engineered Products and aftermarket product businesses, are there any new favorite or, I guess, conversely unruly children among that set of companies that you're now growing?
Suman Mookerji: No, I wouldn't specifically highlight one over the other. We've had good performance across our engineered product portfolio.
Steve Oswald: That's fair.
Operator: Our next question is going to come from the line of Jason Gursky with Citi.
Jason Gursky: Just a quick question on capacity at the Company. It sounds like there's been an acceleration here, maybe potentially of some outsourcing, both commercial as well as defense. It sounds like you've got plenty of opportunities there. I'm just curious, how much more work can you all take on without the need to ramp up CapEx? And maybe just let's start with that.
Steve Oswald: Yes, it's a fair question. Why don't you then I'll jump in.
Suman Mookerji: Sure. Thanks, Jason, for that question. So we do believe our structures business has a lot of capacity. MAX production rates are still pretty low versus the 57 we saw back in 2019. So we're not looking at any significant investments expected there in the near term. On the electronics side, the business is doing well. A lot of that is defense. And so we do expect that as the business continues to grow, we will continue to make expansion on the fringes at a number of our facilities, but those are not very capital-intensive expansions. And so we are maintaining kind of our outlook on CapEx spending to be in line with what we had said during our Vision 2027 strategy discussions, and it's going to be kind of in that $20 million range going forward for the next few years.
Steve Oswald: Jason, let me just jump in here. So also, we're not running heavy second, third shifts at some of these structural plants. We're -- I think we're in very good shape there. So we only -- we not only have the capital in place, but we have the time in the plant, right? So we feel good about where we are and where we're going without capital.
Jason Gursky: Okay. Great. Yes, that makes good sense. And then just on the M&A front, can you kind of describe the pipeline and the current environment there? I know you've assumed some additional acquisitions here over time. And I'm just kind of curious how that part of the Vision 2027 framework is shaping up for you.
Suman Mookerji: And there is continuous activity on that front. I can tell you, we're super busy looking at things, and we have been for the most part this year. We're seeing even more, I would say, in the past few months. We've got to make the right selection, and we've got to make sure that it's the right fit for us. So we'll -- we're keeping at it. We think there is plenty of opportunity there and stay tuned in the coming few quarters, and we'll continue to have M&A activity.
Steve Oswald: Yes I think that's fair. I think we are seeing more, okay, deals. And obviously, Jason, we're -- as I say, we're kind of -- we're picky eaters. We've had a lot of success with the things we bought in the past. So we maybe look at things for environmental, other reasons. We just think it's not for us. So we're continuing on though. There are good news ahead for that.
Operator: Our next question is going to come from the line of Michael Ciarmoli with Truist Securities.
Michael Ciarmoli: Good results. I guess either, Steve, just on the revenue guidance, now down at the lower end, I guess it implies a sequential step down into the fourth quarter, maybe 5% or so if you get to that low end. And then I guess I'm just thinking about what does your margin situation look like, try and calibrate us maybe for the fourth quarter and then obviously, with the Boeing strike and disruption and then kind of how we recover to that into '25. And it sounds like is the guide all related to the Boeing strike? I know you called out some of the program movement, but I thought that was kind of already in the plan.
Suman Mookerji: Yes. So the Boeing piece is definitely a key driver, right? If you look at where we were expecting commercial aerospace build rates to be for the MAX coming into the year versus where they actually panned out and then even versus where things stood at the end of Q2 when we last spoke about our outlook for the year, things have deteriorated dramatically. And we have seen shipments to Spirit go to kind of the low 20s, and we are seeing shipments to Boeing come down to zero on the MAX in September. So that is certainly -- I mean, the MAX is still less than 10% of our revenues in the current year, but it is just under. And so it does -- while it doesn't have an outsized impact, and we've been able to stay broadly in the ballpark of where we had previously guided, there was a little bit of a haircut to accommodate for the MAX changes we have seen in the quarter.
Steve Oswald: And Mike, let me jump in a minute just on these programs. So look, the Tomahawk, for instance, is 17 different harnesses. And pretty much, as I've mentioned in the past, OEMs are busy with other things, and we've really had a fight to get this approved. We have final buy-in now. So that's going to come soon. But that's one of the reasons, too, in Q4, we just had some delays with OEMs. I mean it's not anything other than just trying to push this thing over the line, and we're very close on this. And we feel great about these transfers. So more coming. And margins should be good. Margins should be good.
Michael Ciarmoli: Got it. I mean margins though in the fourth quarter, I mean, it sounds like structural if -- I mean, MAX at zero, it sounds like you're going to be dealing with some decrementals and excess overhead there. And then do we kind of just sort of snap back maybe to this level in that 14, 15-ish back in the first quarter?
Suman Mookerji: No, great question, Mike. And while MAX shipment rates might be at zero, we will still see some revenue and production activity as required by ASC 606. So we're going to see some -- because we don't want to shut down the facility and restart again. So there's going to be some continuing activity. So it won't technically come down to zero, even though shipments are at zero. I would say margins are going to stay in the same ballpark. There's going to be maybe some minor impact of volume and product mix, but we're not expecting -- and again, we don't guide on margins, but there isn't any reason for us to believe that there's going to be any material change there.
Steve Oswald: Yes, Mike, we're in good shape. And that's one of the things about the Vision 2027 coming in with -- we're getting more and more engineered products and aftermarket, right? So it might take a little bit on the chin with the MAX, but we got other things coming in. So that's the beauty of this thing.
Michael Ciarmoli: Got it. Got it. Helpful. And then just the last one. How much -- is there a lot left of pruning on the industrial sort of piece of the business? I mean it's kind of subscale now. I'm sure there's just some natural product adjacent, but anything else you're either in industrial or anywhere else you're looking to prune?
Steve Oswald: Yes. Let me jump on just because I looked at it the other day. So look, the only real game that we have in there is there's pretty much card business, which is legacy at Appleton and then a few other things we might do on our plastic extrusion. But our business year-over-year is down about 50%. So we're really winding down on this, which is what we want, right? Well, if it's a great business for us, we can make some cards and make 40% margin, okay, Jeremy, but the customer is generally going to move on at some point. So that's winding that down. We feel good about it.
Operator: [Operator Instructions]. There appears to be no further questions. And I would like to turn the conference back over to Chairman, President and CEO, Steve Oswald, for closing remarks.
Steve Oswald: Okay. Thank you very much, and thank you, everyone, for joining us today. Look, we feel great about the print. Obviously, we're thrilled that the strike is now over for BA in Seattle, and we look forward to many, many great years now, and we have full trust in Kelly and the team up there, and that's going to be a big lift for us. I mean our Airbus business was fantastic. And as I've talked about, it's really coming on now because they have internal operations. But we're way up on the A320 -- and that's what we want, right? So it's all coming together for DCO. And obviously, our Vision 2027, which is the most important thing, is working, and we're seeing that in our margins and our profit and our engineered products and aftermarket mix. So, all good news from here. I just want to wish you a great day and a safe day. Thank you.
Operator: This concludes today's conference call.